Operator: Greetings, and welcome to the Full House Resorts Fourth Quarter and Full Year 2024 earnings call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Lewis Fanger, Chief Financial Officer. Thank you, sir. You may begin.
Lewis Fanger: Thank you, and good afternoon, everyone. Welcome to our fourth quarter earnings call. As always, before we begin, we remind you that today's conference call may contain forward-looking statements that we are making under the Safe Harbor provision of federal security laws. I'd also like to remind you that the company's actual results could differ materially from the anticipated results in these forward-looking statements. Please see today's press release under the caption forward-looking statements for the discussion of risks that may affect our results. Also, we may make reference to non-GAAP measures such as adjusted EBITDA. For a reconciliation of those measures, please see our website, as well as various press releases and education. And lastly, we're also broadcasting this conference call at fullhouseresorts.com where you can find today's earnings release as well as all of our SEC filings. And with that said, are you ready to go, Dan?
Dan Lee: Okay. Lewis tells me to be briefer than usual because people want more time for questions. So but we had a lot of things going on. So American Place, I'll start with that. You know, it had another strong quarter. The revenues were up strongly every quarter of the year. Fourth quarter revenues are up 27%. Overall, it was up 42% for the year. EBITDA was up 60%. You know, so it just continues to mature as it has since shortly after it opened. It also, more important than the numbers sometimes, The Chicago Tribune does a survey of the best employers in the Chicago area and proud to say that we were on the list and we were the only casino on the list in Chicagoland. And that's important. We have, for a casino, relatively low turnover. We have great employees. We're providing great service, and that's the key to a great business. Equally important, the Illinois Supreme Court ruled in favor of the gaming commission, endorsing their selection of us for the Waukegan license, basically. So that puts it behind us. Had earlier lost in federal court as well. And so that opens the door to going and getting the financing to build permanent. You know, right now, we're doing very, very well. We're one of the better performing casinos in the state despite the fact that we're essentially in a tent. Like a sprung structure. It's like the sort of structure that your municipality uses to store salt for the winter. So it's not really a full-on casino, although we've dressed it up pretty well to make it look as good as we could. But our commitment to the state is to build the permanent one, which will cost about $325 million going forward. And in the next phase. And it's difficult to do that when there was a lawsuit out there questioning whether we have the license that's been resolved. And so we're dealing with our bankers now on the best way to finance this. The one thing we're quite sure of is there will be no equity involved. At these prices, that would be giving it away. And so we are very intent on doing this without any issuance of equity whatsoever. We also don't believe that we need to do a REIT or sell any asset. We think we can do this all in the debt markets on very favorable returns. If you look at other deals done recently in the debt markets, they're being done at very favorable rates. Other casino deals, and they've been some pretty big ones. The REITs are always an opportunity for us, but at the end of the day, it's pretty expensive capital that you can't unwind anywhere down the road. And I think some of our competition's finding that out. So we have not done any of the REIT, APCO, PROPCO deals yet, and we don't think we have to. And so we hope to get the financing together in the next several months. We intend to break ground later this year. We actually could start construction without the financing, at least initially, because in the first few months of construction, there's not a lot of money being spent. It's just bulldozers moving things around. But we want to get started later this year. Allowed to operate the temporary until August of 2027. There isn't a date by which we have to open the permanent. But as a practical matter, we have, you know, 500 employees and we have a state municipality who are relying on our tax revenues and we want to transition smoothly from the temporary into the permanent. And so we're targeting to be ready in August of 2027. If we did need an extension, we'd probably get it. We did once before. It requires going through the legislature. But I don't think we're gonna need an extension. I think we can make that deadline. The outlook for the permanent is actually very good. There's a very good comparable. The Hard Rock folks operate a casino in Rockford, Illinois, which is owned by an investor group. They operated in a temporary for a couple of years, and they moved into a permanent facility down a little bit down the road from the temporary. And they did that at the beginning of September. And their revenue since then have been double what they were before. And Rockford is a city of about 450,000 people. We're the only casino in Lake County, which is about a million people. And so our revenues are bigger than theirs. And our temporary does more revenues than their temporary did. And I think our permanent will do more revenues than their permanent is doing. But they saw a doubling of their revenues when they went from the temporary and the permanent. And frankly, if your revenues double, your income probably triples. And there's two similar places in Virginia where temporary casinos have been recently replaced with permanent, and both of those are also doing very well. And so there's quite a few comparables out there that bode well for us. There's another way of looking at it that we've done. If you take the average win per slot average win per table in the state and exclude rivers, which is in a very demographic rich area, if you just take the average of all the other casinos and apply it to the number of slots and tables that we'll have in our permanent, if we only do the average, and there's lots of arguments why we might do more than average, because we have pretty good demographics around us as well. But if we only do the average, it would be about $200 million of revenue. And if you had normal margins on that, it'd be close to $100 million in EBITDA. And that's just casino revenue. So I'm saying EBITDA into casino revenue would be a pretty high margin. If you include, like, food and beverage revenue, the revenues would be higher, but there's not much margin in food and beverage and sometimes a loss. So that's why you see overall margins on a casino in the region are usually more like 30%, not 50%. But if you just do it on casino revenues, it's close to 50%. So that's American Place. It's doing well, and we're getting ready for the next phase there. In Colorado, we completed Chamonix finally in October. Actually, not quite completed. There's one parking lot that we need the ground to thaw before we can finish it. It's kind of an important parking lot, but otherwise, the place is done. We had a grand opening in early November, which is coming right into the slowest time of the year. And you know, despite all of that, revenues were up strongly in the year. Revenues were up very strongly in the fourth quarter as well, more than double. But, of course, the facility is much more spectacular than what we had before. Now expenses are also up quite a bit, and that's not surprising because now we're operating a full-on resort casino and the revenues are not yet where we expect them to be. And so income has been scant. In fact, it lost a little bit of money in the fourth quarter. Now going forward, I expect the revenues to continue to climb. Both because it's maturing just like American Place did. The expenses should not climb, and income should be pretty good starting this year and grow from there. Now I'm still very convinced it'll make $50 million a year at some point. If you look at what the casinos in Blackhawk make, that's actually very reasonable. Monarch is making north of $100 million a year. Ameristar is somewhere in that ballpark. The Jacobs Casino does very well. I think he's only got about 50 rooms, and he makes like $50 million a year. I look at Premise something like $50 million a year. And so they're appealing to Denver, which is 4 million people. We're equal distance to the south side of Denver as Blackhawk is, and that's probably a million people. But we are much closer to the million people who live in Colorado Springs in Pueblo. So, again, it's a demographically rich area. We're head and shoulders nicer than the competition in and larger than the competition in Cripple Creek. So I expect we doubled our market share this year, and I think we will grow the market and eventually evolve into having a strong market share of a growing market. It's not dissimilar to other places that we've opened. I remember Beau Rivage in Mississippi when we opened. It was a little bit of a slow opening and then eventually caught on. It's dominated the Mississippi Gulf Coast now for 20 odd years, more than 20 years. La Verne and Lake Charles, same thing. You know, first several months, we had some bugs to get out of it, and then it kicked in and 20 years later, it's making $100 million a year. Even Bellagio didn't get to $500 million a year of income in the first year. It took a few years. And so the same here now. We've also made some management changes. I came to realize that some of our management team was in perhaps a little over their heads. And so we hired Brandon Leeson from as our new GM. He starts on Monday. He started out at the Rama Casino in Toronto. He is originally from Canada, although he now is dual passport. And he worked at the Rama Casino, worked his way up, and then he went worked for the Ontario lottery. Regulating slot machines in Ontario or so? You know slot machines very well. As in quite a few years ago, it came to Blackhawk, ran the aisle in Blackhawk, and then ran Valleys in Blackhawk, the three casinos there that Valleys has, And he's had a couple of stints, including recently where he worked for companies offering database management of marketing lists, so he kinda knows the marketing side and the data side and the casino machine sides and so on. And, you know, for example, when he was at Valley's He worked on the Bally's has three licenses of Blackhawk the same way we have three licenses in Cripple Creek. Historically, the gaming commission said you can you can do that, and it reduces your gaming taxes because it's progressive tax rate. But the Tito tickets from one aren't good in another. And that may create confusion for customers when they go in from Chamonix into Bronson Billy, their Tido ticket doesn't work. When when all the you know, you're now on a different color carpet, basically. And well, at Bali's, he worked with the slot system company. Now that slot system was, I think, IGT, if I recall. And modified it in a way that satisfied the regulators. So today, Bali's doesn't have that issue. They can t do a ticket from one Bali's casino can be used at a different one even though some of one of their casinos actually across the street there are other two. And he did this two years ago. And so We were like, this this should make a important improvement as that, you know, It's a it's an important improvement. Is it huge? No. It's not huge, but it's an important improvement. And I just hold it out there as a example of the sort of creative stuff he's done in the past. We're looking forward to having him work with us in analyzing this and running this better. We also have a new HR director. We have a new hotel director. We have new IT director. We have a new corporate VP of advertising who's at the deeply involved with Chamonix. So we're we're throwing a lot of new talent at property. And I'm confident that that's gonna make a big difference. And, you know, ten, twenty, and thirty years from now, this property is gonna be a solid business. In Indiana. You know, we're we're in Brising Sun, Indiana. When that casino first opened, it made $50 million a year. It was the only casino in the entire region. And then over the last 30 years, other casinos have opened that are newer and closer to where people live. Whether it's in Shelbyville, cutting off people from Indianapolis or or downtown Cincinnati, in Ohio and and Miami Valley in Ohio and now Churchill stuff in Kentucky. So everywhere you look, we have competition. And so that property's income has trended down to where it's just $4 or $5 million a year. We went to the legislature seeking to move it. The bill did not get out of the senate. But the senate did pass a study bill that calls for the gaming commission to have an independent study on what the benefits for the state might be of allowing underperforming licenses to relocate and and where they might relocate. The the we were proposing New Haven, and still are, which is a suburb of Fort Wayne. And and we would build pretty significant place there. But if you look at a map, the the other obvious place is the city of Indianapolis, which is 2 million people and has no casino. And so I I suspect that that study will focus on those and and maybe elsewhere in the state. And what what is clear is and and that study committee Commission. Needs a house approval and and we think it'll probably get that in the two weeks. Like, why why would you not study the issue? Doesn't mean it's gonna happen, but at least you have study, so you're you're operating with some background. And there are some precedents. You know, we are the lowest performing license in the state at this point. By a pretty wide mark. I think the next lower casino does twice what we do. And that's the one in French Lick, and they get all sorts of historic tax credits because they're in a historic hotel. Difficult for them to move. There used to be two other casinos that were similar to us in annual revenues. And that was the former Trump Casino and the Barden Casino on the water in Gary. And they had gone bankrupt at one point, and and they were barely in business. And the legislature approved relocating those and one of them moved to Interstate 80 is still in Gary, but it's the Hard Rock in Gary. And it's now the number one producing casino in the state. So the revenues and the and the jobs went way up when they relocated it. And the other one ended up in Terre Haute, which is the Churchill property, and it's doing very well as well. Both in revenues and jobs and investment. And and so there are precedents And and then you know, in Indiana, people are hesitant to have an expansion of gaming. They don't want additional licenses, if you will. But there are a a history of relocating licenses which is better for the state. Now the state originally put the licenses at the borders to try to follow draw business from Illinois and Ohio and Kentucky. But now those states all have their own casinos. So the best locations have changed. And so, you know, I've I've said several times, this might take or three legislative sessions before it happens. I do think it has a reasonable chance of happening, Although, when you're dealing with state legislatures, I think it was Mark Twain said nobody's safe from the legislature's in session. So it's hard to predict. But we know it's a good thing for the state. And and we hope that rationality prevails. And that would be a good investment opportunity for us. Meanwhile, we continue to make good money in in rising sun. Not a lot of money, but some. We have a new general manager there, Jeff Mitchie, who Who Luz and I worked with years ago at And Jeff had been involved with a much bigger tribal casino down in Arizona. And but his wife and his new grandchildren live quite close to us in rising sun, and they wanted to come back to the region. And so we have a guy who's very, very qualified Now in charge of rising? Star. And and, frankly, he'd be very qualified to help move the license if we are allowed to do so at some point. Now he replaced, Angie who would run it for a few years. And John Ferrucci had been running rising star rising I'm sorry. Silver slippers since it opened. Twenty years ago. And and he retired. And and so she moved down there. She had worked there originally. And we had promoted her to finance director at Rising Star. And then a general manager at Rising Star, which did very well in a challenging market. And she's been back down and at the Silver Slipper now for several weeks. And has lots of new ideas, and and I'm confident that the Silver Slipper is gonna see improved results in the the months ahead. And Meanwhile, at Lake Tahoe where we are on a short term lease to run the casino at the Hyatt Tahoe, but it's been extended many, many times, and I I hope that will continue to be the case. The property is is owned by Larry Ellison, and he's moving ahead. With refurbishing it. And the first phase of that is the stuff along the beachfront. And and and, frankly, that stuff was built fifty years ago. And didn't really make use of the special real estate that it is. It's a lot of beachfront on Lake Tahoe, which is Very valuable. And what exists there today is a big restaurant, some meeting rooms, and banquet rooms, and and some villa suites have gotten pretty dated and and a surface parking lot. So he has plans to to fix up that part or replace that part of the property. Our casino is in the main building, which is across the street, and that's not being affected by the refurbishment. Currently, I think he has plans later to come back and refurbish that. And we may be impacted some, by the refurbishment because our customers like to stay in those villas. But long term, this already special property will probably be much more special under him, and we we hope to continue to be part of it. And And so that's that's Lake Tahoe. In Fallon, as I think you know, we sold it. It's a two part deal. The real estate of it closed several months ago. We're waiting for the buyers to get their license. They've been licensed before in Nevada. They're from pretty prominent people. And we expect them to be licensed in the next few weeks. At which point we close the rest of the deal and and they take over the management of it. That's Fallon. And did I miss anything? I got nothing left, Dan. Let's do some q and a. Well, I got it all. Okay. We're happy to take questions.
Operator: Thank you. We will now be conducting a question and answer session. You may press star two if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. Our first question comes from Ryan Sigdahl with Craig Hallum Capital Group. Please proceed with your question.
Ryan Sigdahl: Hey, good afternoon, guys. Wanna start with kind of a higher level question. I mean, given the challenges you've had at Chamonix thus far, I guess, does that change your plans for American Place whether it be the design, the gaming floor, the size, amenities, or even the overall minimum guaranteed spend that you guys have committed to there?
Dan Lee: No. Not at all. I mean, the guaranteed minimum spend, if I recall correctly, and Alex is on the lending. Correct me. Yeah. I think it's $500 million of which we've already spent $175 million. And some of that is the temporary, but a big parts of it, like the $50 million license fee, the storm sewers and parking lots and so on that are being used for the temporary are also part of the permanent and $20 million of slot machines. So we're already kind of into it. Actually, it's the opposite. When you go to the heart The property that Hard Rock built in Rockford, did good job. They really did a good job. And they have the same sort of license we have, the same number of gaming positions and so on. And they spent in the ballpark at $300 million, which is what our going forward spend is in the next phase. And so I've kinda gone to town looking at that. No. You know, I will have a different theme than showing you know, Lady Gaga's underwear behind flexiglass. But that's the Hard Rock theme, and it works for them. We've also spent some time over Durango Station where I think stations did a really good job. And it's very successful. Now that was $700 million. We don't have that sort of budget. But it was funny. We were over there yesterday, and Lewis was freaking out because I brought with me a laser pointer that pointing it all over the place to measure different parts their casino. For our design and if anybody noticed it, it looked like there was a sniper in the room, and Lewis was afraid we were gonna get kicked out. But there's stuff they did there very well. That we hope to borrow recognizing that we have a smaller budget and a smaller place than Durango. And so it's a little more of a let's say the theme of Durango and the size of the hard rock And then it's and recognize this is it's a very different place than Chamonix. Chamonix is an hour from most of our customers up in the mountains at 10,000 feet on the backside of Pikes Peak So you need a hotel. People need to stay overnight. Not everybody, but a lot of people. And then you need other amenities to get them up there. So a big spa, and different restaurants and parking garage and all that. And in Waukegan, we're in the middle of a million people. I mean, we're literally in the middle of a million people. Lake County is most of that. It's 750,000, if I remember correctly. One of the wealthier counties in the country with, like, Lake Bluff and Lake Forest and Libertyville and so on. And so In Waukegan, it's much more like Durango Station, which is a low casino. I mean, they have a little hotel there, but it's really a local casino. And that's what we're doing there. Whereas, in Cripple Creek, it's kind of like a half-sized version of La Verghe. And when we built La Verghe in Lake Charles, the customers are coming from Houston that's two hours away. So we had to have stuff to get people there And so we built a hotel that initially had 700 rooms, later got expanded to 1,000 rooms. And a golf course and all that stuff. So it was more of a smallish destination resort a small version of what Las Vegas is really. And that's what Chamonix is. So it's a different market. And requires a different place. And so when you look at what you build in Waukegan, you know, there's one other one I'd make mention, the on the south side of Chicago, which is a Much more saturated market than the north side of Chicago. And the Wynn Creek Casino opened and they have a hotel. If you back out their hotel, they also spent about $300 million. And so we think that's kind of the sweet spot. And again, the same number of gaming positions as we have. They've grown the market pretty nicely. Now because it's more saturated, they have had some impact on the casinos in Northern Indiana and also a little bit of an impact on Joliet and maybe a little bit on Valley's Downtown. Because the south side gaming per capita is quite a bit higher than on the north side. So we're a less saturated market. I don't think we have much impact, and we haven't had much impact on rivers or Potawatomi. Are our competitors on the north side. And But, you know, it's a good example if you build a good product in a market you'll grow the market. And frankly, in a place like Waukegan, you build a place and people drive by and say, well, look at that. In a place like Cripple Creek, nobody drives by and says, hey. Look at that. You have to tell people that you're there. And that takes a marketing campaign And, you know, we had some you know, coming up to the grand opening, which was on November third or fourth, you know, ad rates were very expensive because of the national political campaign. So we actually were not on the air in month of October, And then we're on the air for a little while, and then you run into Christmas, and it's like, not really a good use of money to be advertising during the Christmas season, and so we kind of backed off again. And now we're up again. So our task is to tell people we exist. They're not gonna see it from driving by, And so it's a little slower ramp up than you would get in a market like Waukegan. But it'll get there. I mean, it's just the same sort of thing when Mirage opened in Las Vegas. They had to tell everybody in LA. There was a new hotel in Las Vegas it wasn't like the other ones. And that's our task. It's actually been Pretty encouraging as well because when we look at maps of where customers are coming from, you know, we've been doing heat maps of Denver, and I will tell you Denver is lit up pretty nicely. We get you know, we always talk about the roughly million people that are in the feeder market between Colorado Springs and some of those surrounding cities the southern suburbs of Denver were always meant to be gravy for us and to help you know, further supplement the plan. But what is looking pretty bright for us is that market is quite excited to go and visit the property. You know, Colorado Springs still has to Dan's point, we didn't have a big awareness campaign throughout almost all of 2024 for us. And so, you know, we managed to get a 160% increase in revenues year over year despite the fact that we weren't running ads. And so when you think about what does the next year bring, gonna bring a lot of good. Dan and I were talking yesterday at Durango, but talking about Chamini and how we feel better than ever for this property and its chances for success. So it'll be fine. The only other point I wanted to make on Waukegan is you know, Rockford as well as it's doing, just don't forget that within a 30-minute drive, we've got some 900,000 people in our 30-minute drive ring they've got about 400,000 people. So we have more than twice the population. But then when you look at median household income, we're, like, 52% higher than their median household income in that same driving And so, you know, they are doing quite well. We know we will do quite well too.
Ryan Sigdahl: Very good. And you look at that heat map, it goes all the way out to Minneapolis. A couple of times. You may be the only one in Minneapolis. I will ask you a very short second question and then turn it over to the others. Your skins for your online sports betting license looks like you're down to one now just circa Is that correct? Five million the rate run rate. As we look to the next several years?
Lewis Fanger: Yeah. There's a little bit of volatility in two q and three q because the existing skins that we had there that we got the that's gonna be discontinued. They're still around one in December. December. So there's a little volatility. But I would tell you as a kind of on a normal ongoing basis, it's if you include the amortization of the upfront market access fee for Illinois, just Illinois is $5.6 million. And so if you're looking at 2026 and beyond, $5.6 million is the right number to use. And Sherco seems pretty determined to hang in there. I mean, in other markets, DraftKings and FanDuel just so dominate and BetMGM, I guess, third And so they've kinda squeezed other people out, even including Wynn, who was our partner at one time in Churchill Downs. But circuits always operate a little differently, and their sports book here in Las Vegas does very well. And downtown Las Vegas, and of course, Illinois is a pretty big market. So it's not a small market for them. It's a big market. But I think our likelihood of finding other people to ride on our license is not high at this point because DraftKings and FanDuel so dominate the market. It's hard for anyone else to break in.
Ryan Sigdahl: Yep. Thanks, guys. And I agree with the Vegas circuit as the best sports book there. So hopefully, they can replicate that in Illinois going forward. Thanks. Good luck, guys.
Lewis Fanger: Thanks, Ron.
Operator: Our next question comes from Jordan Bender with Citizens. Please proceed with your question.
Jordan Bender: Good afternoon, everyone. Yep. This situation seems to be a moving target on an hourly basis here. But on the idea of tariffs, you know, if you start to look at construction for the permanent in Illinois, are you starting to see any changes in prices for material? And is there any way to kinda hedge yourself, given that you're gonna be starting construction here in the next couple months.
Dan Lee: Oh, there are ways to hedge, but we haven't done it. I mean, you can go buy steel futures and stuff, but it I don't think it's pretty unknown what tariffs are gonna be out there. And I think we've somewhat dealt with that in Chamonix The Chamonix was my twelfth or thirteenth casino, and I and I will tell you the other ones, most of them either the steel came from China or the glass from China or the possibility of buying the steel or the glass from China held down prices from domestic manufacturers. And people forget there were already pretty significant tariffs plus the pandemic supply change issues as we were starting construction in Chamonix. And we got through it. I mean, it wasn't wasn't wasn't fun, but we got through it. So we're actually kind of assuming the worst as we design this place to build it for $325 million. In other words, we're assuming that that stuff will be expensive. And uses build it into it. But you have to kinda go ahead and, you know, take a guess. Otherwise, you would just freeze and not do anything.
Lewis Fanger: And we're trying to be smart as well on the design. So know, we're going out of our way to make sure that, we don't put air conditioned air conditioner handling units where you might expand the casino later on as an example. So we, you know, we're trying to be thoughtful. We're gonna have different ways to help mitigate that issue should have popped up, but to Dan's point, we're also putting in some pretty extensive cost assumptions in this model as well.
Jordan Bender: Thanks, Louis. And then just on the second one here, there's some reports out there suggesting that you were looking to buy an asset. You know, outside of your mention there, are you actively looking for other M&A opportunities? And what are the guardrails we should be thinking about if you do go down that path.
Dan Lee: You know, it's hard as most of you know, I had your job at one time. And you're always judged and focused by, you know, one quarter, one year, and looking and when you're in my position, I tend to look further out. And, you know, I'll get calls from my mom who's 95 years old and seems like all her mah jong playing partners own our stock, and she'll call me and say, you know, your stock was down ten cents today. Why was that? And I'm like, well, mom, I didn't even know that, and I'm focused on where the stock will be in 2030. And over the holidays, I sat and just played with a rough model myself, which I like to do sometimes now. You know, and so I just played with the model and said, okay. I'm pretty sure we're gonna get $50 million a year in Chamonix by 2030. Can be 2025, but give us until 2030. I think we can get there. And then I said and by then, we will have operated the permanent American place for two and a half years, and it could be $100 million. I plugged that in. And I said, well, let's suppose Angie gets the Silver Slipper from $13 million to, like, $20 million. Which is what it did two years ago. And I think that's entirely possible. And then I said, okay. And if we get to move to New Haven, with rising sun, and we invest in the first phase. I think it's $350 million in the first phase. The whole investment is, like, $500 million eventually. But the later phases, we built out cash flow. And let's say it's good gets reasonable return on investment. And then I worked into, okay, we produce a lot of cash flow. And let's assume we borrow the rest and I threw in, I think, a nine percent interest rate to be kinda conservative. And then I said, you know, we get out there and you gotta have an exit to a model like this. Right? And the easiest thing is to assume you sell the company at year end 2030. No. That's doesn't say we will. But at some point, by then, maybe somebody else is running the company, and I'm retired or something. But yeah, when you model it, you have to kind of assume. So something like that. And I said, well, let's assume company sold for, like, nine times cash flow. Which would not be high multiple. The casinos have been sold recently sold to north of ten, especially when you consider that we still own our real estate. And when I put that whole model together, and divided it by shares outstanding, I got $45 a share. And you guys run your own models, and this is but I thought there's gotta be a mistake. And I sent it to Lewis, and he couldn't find a mistake. And then there isn't a mistake in it. Right? It's just a highly levered company growing and executing. And so then and I said, well, how much of this is Fort Wayne? And Fort Wayne was, like, six or seven dollars a share of it. And so I backed out that, left suppose the legislature never allows that to happen. And so we just continue with rising sun. Which doesn't earn a whole lot. And now you say that's only six or seven dollars a share. That means Fort Wayne alone is more than what our stock is trading at. Right? And so then I said, let's do something. Let's knock all those numbers down and be very, very, very conservative. And I went to the bottom range of what I would be very disappointed on what each of these would do, and I still got $20 a share. And it's like, that's fourfold from where our stock is. And it's like so then you know, bankers will call us up and say, hey. We have a casino we want you to look at in you know, bum fuck Arkansas. And I'm like, no. I do not wanna mess up what we have. I mean, we will look and we listen. Sometimes you learn something from it. It would have to be a really good deal because you know, there are so many bad deals out there, and they are so easy to do. And we're gonna have a great stock if we just execute on what we have. Now we do have you know, guys like Alex running around looking for other deals, and sometimes he shows up one. Right? I mean, he showed up with American Place. And so we may very well have other deals between now and 2030, but we're very cautious about it because we know if we just execute on what we have, will have one of the best performing casino stocks in the next five years.
Lewis Fanger: Just to be very clear, Jordan, we are not actively looking at any acquisition, just so you know.
Dan Lee: And I'll remind everybody what I said earlier in the call. There may be some forecast statements that we may not achieve or something. Right? It was a safe harbor thing. It's a safe harbor. Yeah. But that's the math we look at. And that's what we're focused on.
Jordan Bender: Thank you. I'm hoping this all works out and you can be playing Mahjong by 2030.
Lewis Fanger: That was great.
Operator: Our next question comes from John DeCree with CBRE. Please proceed with your question.
John DeCree: Hi, Dan. Hi, Louis. Thanks for taking my questions. Maybe two on Chamonix, the first. You're curious if you could give us a little color on kind of what you're seeing on the casino floor. We look at the state reports, the same ones. Everyone else gets. And it looks like, you know, we could see the spot market growing nicely in Chamonix, but, you know, less so on the table side. So curious what you're what you're seeing and what your expectations are for table volumes, slot volumes for the upcoming spring season.
Dan Lee: Well, we are we're actually 100% more than 100% sometimes with the growth in the entire state. But the growth should be more than it is. And tables is been one of our weak points. And so we have a new director of table games. We have a new director of casino operations. I forgot to mention, actually. We had a director of casino ops in rising sun who did a great job And earlier in his career, he had been in Colorado, so we relocated him. And He's been there two months. And there's stuff like we have not offered Baccarat. In fact, nobody in Cripple Creek offers baccarat. And as I speak, we have two baccarat table sitting on our loading dock and dealers going through dealer school to learn how to deal it. And Baccarat's a pretty significant game in Blackhawk. We also our table limits are lower than they are at our competition in Blackhawk. Well, I'm willing to let the table limits go up, but I wanna make sure that we have experienced supervision and experienced dealers and that we're doing so intelligently. And so we're trying to buttress that. We are trying to hire more dealers. We don't have enough dealers. We're running our own dealer school at the moment. And so there's a lot of stuff focusing on tables. And part of the reason we made the management changes we made was to help focus more on tables because that our table game should be maybe 20% of our revenues, and it's less than ten. And so that's a strong area of growth for us. We are about to put in new carpet and handicap ramps within Bronco Billies. Right now, it's pretty jarring when you go from Chamonix into Bronco Billies. And Bronco Billies has probably half our slot machines may be maybe at least half. And so we're trying to improve that transition. There are quite a few customers who actually prefer the brick walls and kind of western theme of Bronco Billy's. But, of course, the slot machines in Chamonix do much much better. And so we're trying to pull that down. We're improving our food and beverage offerings. Changing the menus, changing the marketing, We had a kind of a temporary restaurant. That when we opened, we didn't have the high end restaurant done yet. So we turned the small meeting room space into what supposed to be a temporary restaurant. And we couldn't get enough waiters so I said they could run it as buffet. Well, they ran it as buffet all year. And small volume buffets lose a lot of money. We lost a million and a half dollars in that buffet. And When I finally figured out how ridiculous it was was part of reason for all these changes. And we were charging $45 and the cost of the crab alone was $11 a cover. Primarily, it was $10 a cover. The pastries were $9 a cover. The linens were being leased from a wedding supply linen company, that was $10 a cover. Before you bought the salmon and the chicken and paid for the payroll, we're upside down. We were spending $100 of cover and charging $45 a cover. That's just stupid. And we won't do stupid things like that anymore. And I'm sure Brandon who's very analytical, young young man. I think he's mid forties, experienced man. And he'll make sure that we put a number on this. And you know, when you operate one too many restaurants, it affects every restaurant. And so on a Saturday, that would do 150 covers. By eliminating that little buffet. First off, it frees up our small meeting room space to help book meetings. And second, we may lose 20 or 30 covers to the casinos across the street, which are doing well. Because of us, and that's fine. But the other 120 covers are gifted split among our 980 Prime and our Home Cafe and our Mexican restaurant. And then there's an Italian restaurant that we hope to finish up this year in Bracopili's. And by moving those covers into the other restaurants, the other restaurants will have better profit numbers. So There's a lot of low hanging fruit like that for Brandon and the rest of us to wake up to. We were so focused on getting open that there was some stuff like that that fell through the cracks.
Lewis Fanger: There there's one one other point I wanna make there, John. The you know, when if you look at market share, our market share in the fourth quarter was 26.9%. So we more than doubled our gaming market share year over year And you know, I don't maybe we don't stress this point enough, but, usually, what happens when you go and open a brand new big casino like this is everyone in the market is down. You know, 20, 30% as they absorb the capacity. And the reality is no one was hit. And we completely you know, we went from, you know, effectively 13% market share to 27% market share. Without hitting anyone in the market. It's you know, and a big part of that obviously was certainly on the slot side. We still have room to grow in the on the table game side, but we still more than tripled our gaming table or table games win per day for what it's worth. So kinda baby steps in year one. I think we're gonna have bigger steps in year two as that as this marketing campaign goes out and takes full effect. And you know, we are starting to get wealthier customers in the door. We have players in the door now that will gamble half a million bucks in a weekend. We never would have had any play like that in that whole market ever historically. And so this market's on the move. It's taking a little bit longer than what I think Dan and I would have hoped, but it is absolutely gonna do quite well.
John DeCree: Great. Thanks, Lois. Thanks, Dan. I think you answered my follow-up in there, so I'll pass it off to the next one. Thanks, gentlemen.
Operator: Thanks, John. Our next question comes from Chad Beynon with Macquarie Asset Management. Please proceed with your question.
Chad Beynon: Hi, Dana Lewis. Thanks for taking my question. Wanted to ask about the American Place margins. Good to see that the revenue is ramping and congrats on all the awards that you've received for service levels. It looks like, you know, revenues at this point Or in line or maybe even ahead of expectations compared to know, what we thought the property would be, you know, well over a hundred million I believe you guys talked about potentially 30% margins kinda moving even higher, so it's not at that level at this point. But can you talk about maybe where the expenses are here and if the revenues increase from these levels in 25, if a lot of that will push down to the bottom line, and meet some of the the margin targets. Thank you.
Dan Lee: Yeah. I think it will. I mean, if you're looking at the results for this past year compared to the prior year, a little distorted because we opened the high end restaurant in February of last year, And that was pretty important at driving the casino revenue higher. And helping the EBITDA higher. But most restaurants operate at much lower margins. So the revenue of that restaurant And its income actually hurt margins a little bit. But helped income. And now going forward, I think we'll be able to keep expenses under control. And hopefully continue to grow revenues, and so margins will show very gradual improvement. Now we're also getting smarter with our marketing You know, for example, we have not sent out any physical mail since May of last year. And transition it all to email. And it's and, you know, you save a lot of money on postage and printing, if you can get the emails of your customers. And, you know, the percentage of Americans who have an email address is now about 95%. Very few people do not have an email address. And so And we're finding that the response rate to email is actually a little bit better than the response rate to physical mail. And so American Place kinda made that transition. Other casinos are doing it as well. And so now we're back at all of our other casinos saying, okay. You gotta you know, do special promotions to get people's email. And we're gonna get out of the physical mail business because it's expensive. I mean, if you send a flyer out with an ad in it, you know, come up and stay for a night for on us, And you send it out, you know, if it's a pretty basic flyer, by the time you print it and mail it, it's $2 a person. And the sort of response rate you get is about 5%. Put And so you're spending $60 to get somebody to your doorstep before they any money in a saw machine. And if you could do it through email, you're spending zero. And so it's that sort of you know, nuts and bolts that you start looking for that eventually result in better margins, better income.
Lewis Fanger: Yeah. And keep in mind too, Chad, gaming revenue is obviously aren't done growing. You the January numbers are public. I know you saw those, and you were up 34% year over year. In the month of January. Not a surprise that you know, that's not a bad thing overall for margins. I think as we, you know, get that number higher, the push is to try and get that number in the mid tens per month. A year ago, we were in the mid sevens in a typical month. Right? So for us to be pretty reliably over $9 million these days is a nice move, and eventually, we'll get that over ten and a half. And as you do get it over ten and a half, I think that's when you approach that $40 million plus of EBITDA. That helps you. You know, I like the guys at Valley's, including Su Kim. It's brilliant guy. But I like our position in Chicago better because Our revenues are pretty much the same as theirs. We actually beat them a little bit in January. Generally, they've been a little bit ahead of us at their temporary casino in downtown. But they have a higher tax rate. The downtown license had a significantly higher tax rate than the other licenses. And then their reinvestment application for their permanent is measured in billions, and ours is $300 million. And so know, I like our position better than theirs. Now I wish them well, but I wish us better.
Chad Beynon: Thank you. Okay. And then from a housekeeping standpoint, I don't know if this was called out on the press release, but, Louis, the lower corporate expense for the quarter, could you flush that out? And then how should that look for 25? Should that revert to, you know, five or so million five to six million a year.
Lewis Fanger: I think if you look at the annual run rate of corporate in 2025, 2024, it's like six six six million. There was some over accruals that got reversed in the fourth quarter. So that fourth quarter looked unusual.
Chad Beynon: Yep. Perfect. Thank you both. Appreciate it.
Dan Lee: Thanks to you. You're hired as CFO.
Lewis Fanger: Hey, Dan. We have time for maybe one or two questions depending on how quickly you get through So let's take at least one more.
Operator: Our next question comes from Ricardo Chinchilla with Deutsche Bank. Please proceed with your question.
Ricardo Chinchilla: Hey, guys. Thank you so much for taking my question. I was hoping we could dig a little bit more on, you know, the ramp up here at Chamonix. So can you guys provide a little bit of color on January I know that it stopped because of the water. And, you know, I know that you guys have been playing a little bit to modeling, so maybe you guys can help me out a little bit. I have you guys increasing your OPEX as likely on the fourth quarter based on my math. Can you give us, like, an idea of with your proposed savings and, you know, now that you guys have know, a new manager that's gonna focus on cost savings, like, what's the right OPEC per day the you know, to run that property? You know, Perhaps a little bit more of gaming volumes.
Dan Lee: Well, it's look, it's hard to look at it on a month's The monster effects and different things are affecting or even on a quarterly basis. But to do Like, if your target is $50 million in 2030, we ought to be able to get to $10 or $15 million of EBITDA. And now it's summer seasonal, so a lot of that will be the third quarter. And then, you know, from there, it goes, you know, 20, 30, 40. The next few years, and that's how you get to 50. And You know, that's as good a guess as anybody. Now there's there's that we you know, there's some areas where we probably have too many employees, and there's other areas where we have too few. We don't have enough dealers. I already alluded to it. We don't have enough masseuses. I know we have seven treatment rooms and two other rooms we can use, so really nine treatment rooms. Two messages. And on weekends, they're totally filled. We could fill probably seven masseuses on weekends. It's a popular thing. And you know, we charge $130 or $150 for a treatment in the massage therapist gets twenty or thirty bucks. And so it's a nice profit center. We need more Mississauga's. We're trying to find them. We have a salon where people can get manicures, pedicures, get their hair cut or colored in so it's a beautiful salon. And we have one or two salon therapists. We probably need a dozen. And we are trying to find them. And that also is a profit center, but it's also a marketing tool. Because if a woman can use her slot points to get her haircut, and she likes her haircut. She's gonna come back every month to get her haircut. Using her slot points. So that's the marketing tool. And so there are a lot of tasks for Brandon and the rest of us to refine this place. And it pains me to go back there and see our salon ready for action. And we don't have employees in it yet. We can't find we, you know, we will find those employees even if we you know, people who cut hair, they work in kind of a different sort of commission basis. I'm willing to give them much better commissions than they get in Woodland Park or Colorado Springs. And we need to do that. I'm even willing to guarantee them pay Because if we guarantee that they're going to have it six women getting their haircut a day to pick a number. Then we turn around to the marketing people and say, okay. We just bought six haircuts. Today, so go find some of your best customers and offer them a haircut. And that's how you jump start that business. And so the management team we're putting together is gonna be doing a lot of stuff like that. So And, you know, when you say what would the earnings be in the first quarter, we're not gonna make much in the first quarter. But the faster we can make some of the changes I'm detailing, the faster we can get to that. And I'm pretty sure we can get to $10 to $15 million this year.
Lewis Fanger: Yeah. I'm trying to think of what to add Dan's. You know, the look. We lost a little bit of money in four q there. We're likely gonna lose a little bit money here in one q. Tell you February is better than January. And you know, the big changes that we made we were making behind the scene scenes including bringing in a bunch of people from other properties to help shore things up and with some of the analytics. On the cost side, that really happened in full force now. So, you know, it takes a little bit of time to digest crunch numbers and digest things, but you know, in terms of when do you start seeing the benefits of those actions, I would not assume it happens right away in one queue. But on the flip side, we're gonna be going into spring and summer here relatively quickly. And to Dan's point, you know, it is a tends to be a spring and especially summer seasonal market, and we will make, I think, pretty decent money in those months. Yeah. And I don't mind telling you, those of you who have known him for a long time, I don't make management changes like this lightly. And we've pretty aggressively changed the management of this property in the last several weeks. And I think that reflects the fact that as we got into it after everything was open, And it's like, why are we not doing better? And you found stupid things like the buffet I cited. And it's like, stop doing stupid things. And so now I've hired and brought in a bunch of smart people, and hopefully, we'll start doing smart things. The sooner we do some things If I make a good offer, we'll be happy.
Ricardo Chinchilla: If I may follow-up with one really quick one. Can you remind us your CapEx plans for the year?
Dan Lee: Well, other than Americana Place, it's, like, seven. Five of which is maintenance, and then I mentioned the Italian restaurant might be two. And American Place is not a big number because we'll just be starting. So do you remember what it is in the second half of the year?
Lewis Fanger: Well, it's gonna be dependent on the financing, obviously, but it's not a big number. I'm hesitant to give one. Well, the architecture fees are probably gonna be ten, and that's largely this year. Yeah. And a couple of guys driving build those around. So you know, maybe twenty in the second half of this year That's right. On American Place. But most of that $325 million will end up being in the second half of 2026 and the first half of 2027. And then some spills over even after you open. Because construction bills are paid in arrears. Yeah.
Ricardo Chinchilla: Appreciate it. Thank you so much. Best of luck, guys.
Lewis Fanger: Oh, thank you, Lee. Hey, Dan. We're gonna take one last question, and then we're gonna let's be quick and we'll round it out.
Operator: Okay. Our last question comes from Andrew Walker with Rangely Cap. Please proceed with your question.
Andrew Walker: Hey, guys. Thanks for the question. And just wanted to say how much I enjoyed and agreed with the conversation on the valuation and the opportunity costs on acquisitions. Just real quick, I think you mentioned the February results for Colorado. What is the February results for American Place look like?
Lewis Fanger: You will we always hesitate to give them because the numbers that I always get behind seems differ from what actually gets reported. Well, that's because that the our we look at the numbers with free play in the Yeah. States report it different ways. There's always a little difference in the state numbers. But listen, it's been very consistent rising You know, for since it opened, opened. Right? And now I don't think it's gonna continue to be up 25, 30% over the prior year. Going forward, at some point, the growth will slow. But it's been pretty consistently up 20% over the prior year. Now the comparisons get more difficult in the middle of February because we opened the high end restaurant. Middle of February last year. And So I without even looking at the months, you know, looking out the year, know, I'd expect us to be running up 15, 20% And then gradually, maybe later this year, we're only up 10%. In revenue. But then bottom line would be up more than that because if you're up 10% of revenue, you might be up 20 So The and, you know, you did have some there are little pockets weather depending on where you look, Andrew. So I will I'll tell you this. What outside of the weather pockets, the customer is actually still pretty robust. If maybe that's the other angle of your question. It does especially in Colorado and especially in Waukegan, you know, we're seeing a very good robust customer. But I would tell you we would expect that as well because those are two underpenetrated markets. And so we expect them to be a little more robust anyway. There are two little things we're doing that help the numbers. Our larger restaurant was or one of our large restaurants was somewhat underutilized. And we're now we've set it up and are using it for entertainment events. So we bring in comedians and inexpensive entertainment to So be in front of 300 people. And that's worked pretty well. It at driving business when we do it. And we'll probably do more of that And we're also adding a small poker room Now in poker, you get a break, so it's not a lot of money. But it was a pretty slow corner of the casino. So we said, well, let's put in a poker room. So we have one. Our competition has poker. Coming soon. Yeah. And so that'll be open the next a few months?
Andrew Walker: Awesome. And then, just the bookings for Colorado over the couple months, I don't think you've really talked about them. How are kind of the hotel rooms looking so far?
Lewis Fanger: I honestly don't know it off the top of my head. But Well, I was gonna say it is a it is a short booking window. It's not like Vegas. You know, in Vegas, you tend to get Yeah. Pretty advanced bookings. In our cases, we'll drop a mailer Actually, the mailer is going out now for the month of March for example, but those mailers will have you know, the room offers for the current month, and so our leads time isn't months and months and months. It tends to be days or weeks. I mean, we do fill on weekends. When you're looking at occupancy, it's all about And that's one of the other areas. We need to hire more sales and marketing people to help use the meeting room space to fill mid week. So we're working on that.
Andrew Walker: Hey. Most of my other questions have been answered. Again, I love how y'all touch off the opportunity cost and excited to get some new equity financing done.
Dan Lee: We're not doing equity. I think you said no equity.
Andrew Walker: Oh, equity. You we agree, actually. We agree.
Dan Lee: Yeah. So take care. From my son.
Andrew Walker: Alright. Thank you, Andrew.
Lewis Fanger: Hey, Dion. You wanna just wrap it up real quick? I think we've covered it. So thank everybody for your support. And hang in there with us. And this is we're gonna have a great five years here.
Andrew Walker: Alright. Thank you, guys. K. Bye.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.